Executives: Marty Tullio - Board Secretary Lee Hamre - Chief Executive Officer Mike Maloney - Board Member and Chief Operating Officer
Operator: Good day, everyone. And welcome to the AmeraMex Fourth Quarter Conference Call. Just a reminder that today's call is being recorded. And at this time, it’s my pleasure to turn the conference over to Marty Tullio. Please go ahead.
Marty Tullio: Good morning. Thanks, Lorie. Before we begin today's call, it’s important that everyone understand that the statements made in this conference call that relate to future financial results, markets, growth plans or competition, are forward-looking statements and involve certain risks and uncertainties associated with demand for the Company's products and services and development of markets for the Company's products and services. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as the date of this conference call. AmeraMex undertakes no obligation to release publicly the results of any revisions to these forward-looking statements that may be made to reflect events or circumstances after today’s call or to reflect the occurrence of unanticipated events. Now, I would like to turn the call over to AmeraMex CEO, Lee Hamre. Good morning, Lee.
Lee Hamre: Good morning, Marty. Thanks for joining us this morning for our year-end conference call. With me today are Mike Maloney, our Board Member and Chief Operating Officer; Marty Tullio, our Board Secretary and myself. Unfortunately, our CFO, Tracie Hannick couldn’t participate today. She had other plans and before we schedule the call. I would like to thank you, our shareholders for your ongoing support. Before the call is turned over to Marty for a review of the year-end financial statements, I would like to provide a brief update of our SEC audit process. During our last conference call, we discussed in detail where we stood with our audit and said that we will provide no more updates until the Form 10 was submitted to the SEC. We're going to give you a little update anyway we’re getting close to that. AmeraMex has been working closely with its outside audit firm. The audit firm has represented to AmeraMex that audited financial statements for the fiscal years ended in December 2017 and 2016 should be completed in early 2018. They are now just finishing their review of the Company's financial statements for the year ended in 2017 and will provide AmeraMex management with any adjustments required for the period. After we wrote this, this morning, we received an email with the questions that they had and with the adjustments they need us to make. So that is actually happened already this morning. Once completed, the audits will be provided to the Company’s outside legal team for completion under the Form 10 and its submission to the SEC for review. The Company plans to file the registration statement with the SEC as soon as possible and the SEC comment process begins. The process can take three to four months, occasionally, it can be quicker, but that's the norm. The Company and its service providers are committed to responding expeditiously. After the SEC comment process is completed to the satisfaction of the SEC, they will declare the registration statement effective, and AmeraMex will officially be a full reporting company, which is a requirement before we can apply to list on the OTCQB. Marty, would you please provide an overview of our financial statements for the year ended December 31, 2017?
Marty Tullio: Yes. Thanks, Lee. As we mentioned, unfortunately, Tracie couldn't be here today and I am going to go over the numbers with you the financial statements, but if you have questions that I am unable to answer, I'd like you to put those in an email and either Tracie or I will get back with you as soon as possible. So I'd like to proceed now with the overview of the financials. The press release disseminated this morning and as you could see revenue for the year was approximately $8.8 million, which is a 15% increase when compared to revenue of $7.5 million for last year. The net profit for the year was great, it was $4.3 million on that $8.8 million and that’s a 45% increase when compared to $2.3 million.
Lee Hamre: That was gross profit, Marty.
Marty Tullio: Gross profit...
Lee Hamre: You said, net...
Marty Tullio: Gross profit, when compared to $2.3 million for 2016. Gross profit as a percentage of sales increased 17% when compared to the year ended 2016. Net income for the year was $1.7 million compared to a net loss of $1.4 million for the year ended 2016. Our balance sheet for the year ended December 31st indicate an approximate $3.2 million increase in total assets. Our total liabilities for the year increased approximately $1.5 million due in part to the increase of the Company's inventory, which was $2.5 million increase. I’d now like to turn the call back over to Lee. Thanks Lee.
Lee Hamre: Thanks, Marty. As we discussed in our last conference call, our strategy is to increase the equipment rental pool from $4 million to $10 million by the end of 2018. Our rental pool at the end of 2017 represents approximately $7.4 million in heavy equipment. So I believe that we’re on track to meet our goal by the end of the year. Business has been real good, we're getting new rental contracts, so we can buy machines to fill the contracts and of course that goes right into our inventory list and has immediately generated money. An update on African opportunities. We are continuing to respond to request for proposal from companies in Africa since the announcement of our agreement with Oshkosh Defense to market products to Nigeria. They have gotten back to us and added Angola and a couple of other small countries that will be representing them in. I believe there is an opportunity in all these locations, and we are making headway after several months of marketing. This week, a few invitations were sent to various government officials to visit the Oshkosh Defense facility in Wisconsin. These officials are coming from Nigeria and they'll be coming in their corporate jet and I'll meet them at the airport in Oshkosh. They're coming to meet the management and see equipment demonstrations. We do have some tough competition from both China and Russia as they market both new and used military equipment. Fortunately, we have built a good working relationship with several high level government officials and market a superior line of military equipment from a well recognized and respected manufacturer. Additionally, our Menzi Muck experience has been a little rough for a few months, but we seem to have gotten it back on track. We did sell one machine and we've done several other demonstrations. We've had little trouble getting the warranty settled with the factory and getting reimbursed for our warranty expense. But it looks like we've got that back on track now too. The equipment is state-of-the-art within the industry and it does require specially trained operators and a factory training support team, support which we can provide. With that said, Menzi Muck is sending us two new machines for a demonstration coming up in June. We've got a demonstration plan with a new line that we took on, called the ASV. It's a track skit steer with a grinding head and the Menzi Muck with a grinding head both machines are used extensively in fire protection. They can work on steep ground and they will grind up all the underbrush. And prelims that are laying on the ground of fire hazard and make it into a little small chips of wood, so that the fire hazard is reduced dramatically. So both of these machines the ASV and the Menzi Muck will be on site, actually two Menzi Muck, the big one and they have a small one that can be dropped into a fire district by helicopter it's lighten off and then the operator can run it doing a grinding of brush and then they can fly it back out when he's done in that area. So it's a real versatile machine. On our core business, we believe this is going to be a great year for AmeraMex. We expect to be only reporting company who'll increase our exposure as we move from the pain sheets to the OTCQB trading platform, benefitting both our stock price and shareholders. Then thanks to our government's policy changes over the last 12 months. Our U.S. business prospects have exploded in the lumber industry. Just this week alone, we’ve received a purchase order from one of our 30-year customers for the purchase of 28 new large forklift machines that are just under $200,000 a piece. So it's about $4.5 million order already. We just received that this week we’re submitting it to the factory. The delivery for these machines won't start until October, because along with business getting better, deliveries get stronger as the factories can't keep up with all the orders. We have seen increased orders now for a few months. Construction companies also, just like the sawmills, lumber prices are almost double what they were last year. The lease of new and used heavy equipment is increasing dramatically. We've also seen increased orders from logistics companies for loaded and empty container handlers and forklifts as retailers are marketing same day and one day delivery. We just also got an order in from a customer for a second machine going-on on rent in Dutch Harbor, Alaska to handle containers in the Aleutian Islands and we’ll be shipping that machine next week that goes by bars to Alaska and then it off-loads up there and handles containers in the port of Dutch Harbor. We are excited based on conversations with our customers, the economic development, positive business outlook is driving their growth, which in turn drives ours. The first quarter of 2018, we’ve reported total sales over $6.9 million. We believe this positive outlook will continue throughout 2018 and beyond. With that said, we’d like to begin the Q&A Session for today’s call. Operator, would you like to begin the Q&A.
Operator: [Operator Instructions] And we’ll go first to [Michael Abalos].
Unidentified Analyst: Yeah. My question is, I was reading -- there was a news release a couple of years ago about a women had work for you guys and then had taken some money and in the court you ended up pressing some charges, that’s great and I know that wasn’t passed, that was a past mistake or past -- in the past. I just wanted to know the necessary steps that you guys have taken so that does not happen again, or if you might have taken any steps at all?
Lee Hamre: At that time, that was 2008 when that happened so that’s 10 years ago. And at that time, we got our bank statements in on paper in the mail and the same person was writing checks to pay debts, she didn’t signed the checks she just wrote them and then got them approve and signed. But she also processed the checking account statements. And the way she was doing what she did was by chemically washing names off of checks that were made out to vendors and putting her name on it and then by washing her name off the statement when they came in and putting the vendor back on, there was no way we could find anything wrong except some vendors that were getting paid appear to be getting paid twice. And it took quite a while to figure that out. Ultimately, now we have electronic statements on the computer and it’s impossible to change anything. And we have two different people handling in and out on the money. So it would be absolutely impossible to do something similar to that again. Our local district attorney told me after 30 years on the job that that was the most sophisticated embezzlement he’d ever seen. So the fact that we didn’t catch it very quick, that’s the only thing that makes me feel better is she was really, really good. That’s about the best way to explain it.
Unidentified Analyst: I just wanted to make sure that you guys have put -- or that you were saying you have two people now in charge of money. I just want to make sure your guys money is safe, I’m glad to hear all this news about the increases in revenue at all. I just want to make sure that you guys -- the more you invest the more your money stay secure and for investors that we know your money stay secure.
Lee Hamre: Absolutely.
Operator: [Operator Instructions] And we do have question from [Tyler Burton].
Unidentified Analyst: I was just curious you mentioned your activity down in Africa. I don’t want to get too excited, but just wondering whether the size of those the interest is as far as the contracts go or the equipment that you’re looking at, at least people are looking at revenue wise. What could you expect? I know there is a lot of competition even with mass costs. Are these large contracts are they slow, are they just -- I mean, can you expand on that a little bit?
Lee Hamre: Most everything that we’ve bid on in Africa is probably large contracts. I actually just submitted a bid this morning to Niger for about 30 pieces of caterpillar equipment that will be -- it’s all used equipment, it will be just under $2 million. I don’t know if we’ll get the deal or not. We don’t get them all if we get them all, we all be retired but we’re working on it. We’re working on it all the time and we have a fairly steady flow of bids going out. We have closed some business in Africa it ship machines over there. I’ve made numerous trips to build relationships with people that we can do business with and it looks real positive.
Operator: [Operator Instructions] And we’ll go back to [Michael Abalos].
Unidentified Analyst: I have another question. One of your employee have posted that you guys are actually hiring new employees, you’re looking to hire new employee. How is that going?
Lee Hamre: We hired one, two, three new mechanics. We’ve hired a salesman. And we have bought two new over the road Kenworth semi-trackers and trailers. We’re growing rapidly and as fast as we can keep up we’re trying to do as the people we need. We could probably use three more shop mechanics right now more than we have. But I have to be concerned with getting too many people where we can’t keep them all busy. But basically, we are growing rapidly. I mean we’re hiring all the time. We’re looking for one more mechanic right now for sure for a satellite operation that we do up in the mountains and we’re increasing our accounting staff, just everything is positive.
Unidentified Analyst: My other question is aim towards Marty or maybe the whole company in general. Have you guys ever talked about lowering the number of shared that you guys have out in the market. A lot of companies well they’ll do it like I think it’s called a stock split, I am not too familiar with it. But you guys been doing -- ever talk to lower the number of share?
Lee Hamre: You want Marty to answer that. I mean either one of us can, it’s just…
Unidentified Analyst: I mean, whichever feels more comfortable…
Lee Hamre: That’s what we call the reverse split, and a lot of negative comes along with a reverse split that we really don’t want to expose all of our shareholders to and quite often cost value and the stock quite a bit. So if we decide that we want head in that direction, we want to do it when we have a real good positive announcement to go with it, and a lot more coming right after that. So when we up list to the OTCQB, is a good possibility but we haven’t discussed it yet at all. We have to follow up with more real good announcements. And it’s something that would make sense when we have so many shares out. But we want to make sure if we do make a decision like that that we make it at the right time and that we have enough positive news releases to overcome any negative that it might create. Thank you for your questions.
Operator: And Mr. Hamre, I have no additional questions at this time sir. So I’ll turn the call back over to you.
Lee Hamre: We’d like to thank all of you for participating today in the call and for your questions and continued support. We look forward to speaking with you when second quarter financial results are disseminated. Have a great rest of your day and a Happy Easter.
Operator: And ladies and gentlemen, once again, that does conclude today’s conference. And again, I’d like to thanks everyone for joining us today.